Operator: Good morning everyone, and warm welcome to the presentation of Elekta's First Quarter in the new Fiscal Year 2021.My name is Cecilia Ketels, and I'm Head of the Investor Relations at Elekta. With me today in Stockholm, I have Gustaf Salford, Elekta's Acting President and CEO, and Johan Adebäck, our Acting CFO who will be presenting the results. Today's agenda will start off by Gustaf presenting the highlights of the development in the first quarter, then Johan will give you details on the financials, and finally Gustaf will take a view on Elekta's outlook and after the presentation there will, as usual, be time for questions. But before we start I want to remind you that some of the information discussed on this call contain forward-looking statements. This can include projections regarding revenue, operating result, cash flow, as well as products and product development and these statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in the statements. And with that said, I hand over to you, Gustaf.
Gustaf Salford: Thank you, Cecilia, and good morning everyone. Before I cover our Q1 performance, I would like to start by highlighting our strategy Precision Radiation Medicine that continues to guide us in our efforts to drive innovation and growth, and it's especially important under the current pandemic when it's challenging for patients to get access to their cancer treatments. Our vision is that everyone would cancer should have access to and benefit from precise personalized radiation therapy. If I now turn to our Q1 in summary, I would like to share a couple of highlights. Despite of COVID-19, we were able to show positive order growth supported by large order from the U.S. market. Our installation volumes and revenue was impacted by the pandemic, but still we were able to improve profitability and cash flow compared to last year. The improvements come from our efficiency initiatives in the areas of cost control and process improvements from a global resilience programs. Our current key priority is of course is to support our customers by securing up time of their solutions and services, and help them work digitally and remotely. In May, we reached our Unity target of 75 machines and we are now very pleased to enter the second commercialization phase of Elekta Unity including the reason the regulatory approval for the Chinese market. We also strengthened Elekta digital by acquiring Kaiku Health enabling our customers to digitally connect with patients. We believe that the recent consolidation of our industry provides a good opportunity to accelerate our leadership in Precision Radiation Medicine as increased innovation investments as key for long-term success. The world is of course still impacted by the pandemic and the demand for radiation therapy products are included in that but Elekta's solid performance in Q1 with positive order growth and increased profitability is a clear sign of our resilience and a strong underlying demand for our products. We were able to grow orders by 4% in the quarter and EBITDA came in at the strong 18.5%.However, revenues were affected by COVID-19 restriction leading to delayed installations on the customer sides. So far, only China has returned to a normal level of installations with a strong double digit revenue growth. Globally, we are pleased to see our recurring service revenues growing by historical levels. Now turning to order performance by region. In the first quarter, Elekta had an order growth of 66% in North and South America and the key growth driver was the large order from GenesisCare as they entered the U.S. market. South America also showed positive development in the quarter. Both EMEA and APAC had difficult comparisons versus last year and overall, EMEA order volumes declined by 20%.Despite the low order activities overall in large radiation therapy market such as Germany and France, some countries, for example, the Netherlands, Italy, Russia reported increased order intake. Morocco also showed order growth which included major agreements for multiple linacs, on calling for [indiscernible] solutions and treatment planning systems. The APAC markets declined by 12%, Australia had a launched decline in order impact. However, in India, large bundle deal was closed with one of the leading oncology service providers, HCG for linacs and a large software package. The Chinese order volumes were almost in line with the same quarter last year. And in Japan we bought Unity orders from Chiba University Hospital and Osaka City University. The current COVID situation is still impacting our customers and their ability to place orders in most areas of the world. Now over to Unity, and Elekta Unity is entering into the second phase of the commercialization journey where we are focusing on a wider market adoption, and collecting clinical evidence. We had a strong order momentum in Q1, which was the second best Unity quarter so far. The clinical outcome is continuing to be very good with additional systems going clinical every quarter. During Q1 Başkent University in Turkey started to treat patients with their Unity, as well GenesisCare in Australia. More research publications are also being published by our customers. In 2019 Unity had approximately 30% more publication than the competition and during 2020 the difference has grown to 70%.We were also very pleased that we received the regulatory approval for Unity from China's natural medical products administration last week. With this approval, we are now looking forward to being able to take new orders from the Chinese market. In the new industry landscape Elekta will be the key global provider focusing on Precision Radiation Medicine and our strategy consists of three main parts. It is to accelerate leadership in treatment solutions and we are looking forward to present our new linac in the digital launch in September. The linac will be great products for both mature and emerging markets accessible for all. The value proposition is built around delivering high productivity with high quality. It is a complete re-engineering of the patient set-up process typically the most time consuming step of the treatment session. Another advantage is the full versatility and a small footprint, so that it would fit into smaller bunkers. In the area of expanding the role of Precision Radiation Medicine, Unity is of course playing a very important role by enabling to treat cancer cases that we before couldn't be targeted with radiation therapy. Over the coming year, we plan to release tools that together will form a comprehensive motion management tool kit including automatic gating. We're also driving digital solutions for value based care across our portfolio. The most recent addition is Kaiku Health which strengthen our software portfolio and our strategy of enhanced cancer treatment process digitalization. Kaiku Health enables our solutions to digitally connect with patients to personalize and more efficiently manage side effects, and obtain real world patients reported data. We're also deploying our cloud solution access across our markets and products. Going forward, we will continue to invest in R&D and innovation programs to secure long-term growth and drive this industry forward. And with that, I would like to hand it over to Johan,
Johan Adebäck: Thank you, Gustaf. I will go through the financials in more detail starting with the P&L. We had a relatively strong performance given the travel restrictions and limited access to hospitals continued to delayed installations. Nevertheless, net sales declined by 5% in constant currency and negative development it was seen in all three regions. Solution sales declined by 14% in the quarter. This relates especially to Elekta Unity and Leksell Gamma Knife products for which we have a global installation teams. On the service side we are particularly pleased to see strong service revenue growth of 7% in the quarter. The strong service performance is both related to orders as Gustaf commented on earlier and to net sales. Moving to regional performance and starting with North and South America, we saw a decline in net sales of 4%. The U.S. and several South American countries were growing, although Brazil had a weak development. Canada met a difficult comparison quarter and dropped some. In Europe, Middle East and Africa, sales declined a role by 1%. In Europe, there were a mixed development some larger markets like Italy, Germany and France had growth, whereas others such as U.K. and Spain had a negative outcome. In the emerging markets, the largest growth was seen in Turkey, Saudi Arabia and South Africa. Asia Pacific sales declined by 11%. Most markets in the region had lower sales [indiscernible] Q1 but China is back to normal, showing strong net sales growth in the quarter of 18%. Cost of goods sold declined by 13%, positively impacted by the sales mix with lower solutions and higher service sales. As a result, gross margin came in at 45.9%. I will come back to expenses and EBITDA on the following slide, so I jump to net financial expenses, which increased somewhat mainly due to lower return on our cash position. Income tax was SEK66 million equal to a tax rate of 23.5%. We continue to prioritize cost control and drive efficiency initiatives to stay resilient in these challenging times. We are especially focusing on digitalization and process improvements, which already had a positive impact on our expenses in the quarter and resulted in a significantly stronger cash flow compared to last year. In the short-term, we're driving flexible staffing initiatives, digital marketing events, remote service efforts and reduced travelling, but we're also prepared for the long-term by driving simplification of our processes through digitalization with new IT systems and centralization to our shared service centers. Continued COGS reduction initiatives are an important area and we are driving reduction both on existing platforms, but also when launching new products. Looking at expenses, we've lowered the total expenses both compared to the first quarter last year and to our fourth quarter. In selling expenses we saw a significant decline, this was due to lower marketing expenses through postponed events, but also from lower costs in connection with virtual or digital events and marketing. Reduced travel was also a key driver of lower selling expense. We see that travel costs are picking up somewhat, but we do not expect to get back to the pre-COVID levels in the foreseeable future. The admin expenses increased both year-on-year when compared to Q4 mostly from increased IT spend due to remote working and investment in digital platforms. Moving to R&D, our R&D net R&D expense declined as capitalization increased SEK48 million year-over-year, as more development projects reached the capitalization stages. Our EBITDA came in at SEK551 million corresponding to an EBITDA margin of 18.5%, which is our strongest Q1 EBITDA and EBITDA margin for more than 10 years. This shows that we so far have been successful in mitigating the negative market conditions on net sales through resilience and good cost control. This page illustrates the growth of SEK103 million or 23% between last year's Q1 and this year. The largest positive effect comes from the mix of solutions service, as mentioned before as well as our resilience measures and cost control. FX had in this quarter only a minor impact on the profitability compared to Q1 last year. Moving on to cash flow, we had our strongest Q1 cash flow since 2011. Cash flow after continuous investments came in at SEK26 million. Our operational cash conversion for the last rolling 12 months was 61% somewhat lower than our target of 70%, but still a significant improvement from last year. Key drivers of improved cash flow were higher earnings and a significantly lower working capital buildup than Q1 last year. Net working capital is now at 4% of net sales and we continue and we will continue working on improving working capital management by focusing on inventory reductions and cash collection. Even if we are satisfied with improvement in cash flow in Q1, the level of uncertainty is still high and we stay prepared for potential negative effects by maintaining a higher level of available cash than normal. To summarize the financials - so to summarize the financials, our view Q1 is a good start of the year, especially given the challenging market conditions. And with that, I hand back the word back to you Gustaf.
Gustaf Salford: Thank you, Johan. Now I'd like to say a couple of words on our dividend and also our outlook and priorities going forward. So at today's AGM, the Board of Directors proposes a dividend of SEK0.90 per share for the fiscal year 2019-2020, which is in line with the dividend policy, but half the level of last year. The Board of Directors may call for an Extraordinary General Meeting to propose an additional dividend, this is dependent on the general economic outlook and how COVID-19 will affect Elekta and its markets going forward. Looking into Q2, we expect to see continued negative impact from the current market situation and we refrain from giving a guidance at the moment. Order volumes are still impacted in most markets due to the uncertainty and timing of the customers' purchasing processes and decisions. We have a strong backlog to support the installation and revenue, but there is still some delays in the customers' installation plans. In our global resilience program we'll continue to drive cost control and cash flow measures to support a more stable performance going forward. Our focus right now is to deliver performance quarter-by-quarter in difficult market conditions, but in the longer-term, we are convinced that the underlying demand for our solutions and innovations will continue to grow due to the large need for radiation therapy solutions around the world. We also believe that the recent consolidation of our industry provides good opportunities to accelerate our leadership in Precision Radiation Medicine going forward.
Cecilia Ketels: Thank you, Gustaf. Before we open up for questions, I would like to push for our virtual launch of the new linac. This will be on September 15 and we will send out an invitation shortly with more information and instructions on how to sign-up for attending this virtual event, but please already now save the date. And with that I hand over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Annette Lykke of Handelsbanken. Please go ahead.
Annette Lykke: Thank you so much for taking my questions and thank you all, congrats on a very nice Q1 results. I'm not sure if you want to talk to the installations that you have done so far, but last year was you were updating us on the number of Unity installation you did in a quarter. And also you were sort of having some indications on how much you would do for the full-year, that would be very nice. Also if you could comment on the Gamma Knife installations, if hospitals have been bunker ready here and if all the backlog from last year is now installed. And it is of course clearly that Q2 as you highlight will have some negative impact, but on the other hand you also have a huge GenesisCare order for 21st century in the US, how would that installation pace go for remainder of the year and how much should we expect you to install? Then also, can you clarify that you will now recognize the five systems from the - from China after the clearance of Unity. That is my question for now.
Gustaf Salford: Thank you, Annette. So I will start with kind of the installation situation we see around the world for MR-Linacs and Gamma Knifes as I also referred to. Since we have more global teams, it's more difficult to get access to those countries because of travel restrictions. We have seen that in for example India is difficult to get installers in the country. So that's why you also see bigger impacts in the first quarter on Unity and on the Gamma Knifes. We were pleased to see that we got two new clinical systems, but we didn't do any start of installations of Unity's in the quarter. On the Gamma Knife side that's lower versus the levels we should be at, it was quite low if you remember last year as well the first half, as well of course, we want to be at higher levels, but it's the same challenge for us to get our installation teams in many of these global markets. Looking into then installations in the US over the next quarter your question on GenesisCare, it's fantastic to see the progress that we have done with GenesisCare in that market. They have a very ambitious and good plan for how they want to replace the installed base in the previous 21st century installed base. And we are really there side-by-side helping them to do so. So you're right, it's going well and we will install machines in the US for GenesisCare for sure. On looking forward on installation on MR-linac, I think that's too early to say exactly a number for the full-year. We need to see how the lockdowns, the access to the hospitals will develop before we can give any indications there.
Annette Lykke: Okay. Could I follow-up -
Gustaf Salford: Maybe on the Unity in China yes that we expect to - revenue recognize that, yes.
Annette Lykke: Will that be all I mean will it be five times let's assume that the price was $8 million or $9 million or have some of it's already been recognized?
Gustaf Salford: No, so we have a - we placed the orders, we took it to the order backlog when they were booked at more research systems and now we'll take the full revenue amount and since they were part of the first regulatory process the pricing would be a bit lower compared to what you are being used to for other countries. But then going forward in China, we foresee regular price levels I would say. And that's the situation we're in right now that now we can take new orders from Chinese customers.
Annette Lykke: And then just short on Unity orders per quarter. I know you are not willing to share order details, but we probably were around 13 for this quarter. But then looking forward, should we expect that due to delay in tender processes and maybe also lower appetite for capital in goods and hospital, should we expect that to come dramatically down the next few quarters or would you still be higher due to you enter into the second wave?
Gustaf Salford: I think it's important to say that we're now entering the second phase of the commercialization of Unity that we have talked about the last couple of years. And we had such a big focus on reaching the 75 that we achieved, but now we'll focus more on the overall growth, getting into new markets like China now in other parts of the world and also get the clinical outcome. So we'll focus less on counting Unity's per quarter. But I would like to say at the same time that Unity as you have seen historically, you cannot really compare it quarter-by-quarter, it is lumpy project-based business and you should more look at it on a rolling 12 month basis or that perspective.
Operator: Our next question comes from the line of Patrick Wood of Bank of America. Please go ahead.
Patrick Wood: Perfect, thank you very much. I have two if I can please, the first would be on the gross margin, which is obviously very strong in the first quarter. Just qualitatively it might be helpful if you could give us a sense of how much of that was a function of, say, the COGS work in the reduction and what you're doing there? And how much was a function of the service mix within the Group. And then secondly on service in general, two questions, one is, is the service strength in Q1 a function of the strong placements that you had in Q1 last year coming off warranty and therefore rolling into service contracts, so is there something else going on there? And within service overall, do you think there's a long-term opportunity we're talking about digitization moving over from removing some of the cost and just generally increasing service margin having a more efficient service business and a higher margin there. Thanks.
Gustaf Salford: Yes, on the first one gross margin, I would say it's mostly the mix, so we've increased service revenue, which is the key driver of that effect. And then if you look at the service business going forward and a strong 7%, I often look at the installed base growth and then I expect that service revenue should follow it quite closely between the quarters. You see fluctuations between quarters, but it's often 6%, 7%. So we have been focusing a lot of keeping the service up and running to make sure that the customer has the right service offering as well throughout COVID and thereby and therefore it has also had positive benefits on the revenue number there because of that focus. And sorry, Patrick your last question was more forward looking service was that it --
Patrick Wood: The last question, yeah, that was basically on service, you're doing increasingly remote service and digitalization, I guess even after COVID, is there an opportunity here to have lower service costs for you guys but similar service pricing that will better margins, do you see what I mean like a shift to promote servicing.
Gustaf Salford: Absolutely, so what you sell to the customer of course is up time and a great service and also education, training all those aspects. And we have now worked lot with digital trainings, remote service, remote fixing in our help desk and also through our service engineers and that - we have seen a very positive outcome of that also in up times, et cetera. So I foresee as you say Patrick that we'll continue going forward because it's good for the customers and it's good for us as well.
Operator: Our next question comes from the line of Kristofer Liljeberg of Carnegie. Please go ahead.
Kristofer Liljeberg: Three questions, first on orders. If we assume Unity orders in absolute numbers are down a little bit year-over-year, it must mean that the underlying business are growing or the base business or whatever we should phrase it, a bit surprising considering the pandemic, but are there any other big orders explaining this for example the one you press released in India, is that included in this quarter? And my second question also relates to India, when you talk about I think you said license agreement is some sort of subscription model in India and if so is this a new strategy for you? And the final question coming back to the lower operating cost, is it possible to say how much of this is a more structural, longer-term in nature and how much is just short-term effect from less traveling, et cetera. Thank you.
Gustaf Salford: Yes, so I will kick-off with the questions around order. So, it was a resilient market from that perspective, then of course GenesisCare had a big impact in both quarters it - we had 32% order growth in Q1 last year. So, it was a difficult comparison, especially in Europe or EMEA and APAC and Australia. So that's one effect, but the underlying growth in the market was quite resilient. We saw larger deals as you mentioned you in HCG, in India, I'll come back to that, but those are the parts of the world that plays bigger deals, we mentioned Morocco as one of those examples. The HCG deal is very interesting, yep.
Kristofer Liljeberg: Sorry Gustaf on that topic, would you say you were a bit lucky in the quarter, maybe that's the wrong word, but maybe understand what I mean and that we should be careful here in the second quarter -
Gustaf Salford: No, I think it's a good question, yes, of course in this area or time of uncertainty. And so we had a lot of orders that came into the quarter in the end and that was of course a good signal, but looking into Q2 we still see the uncertainty. So I think it was from order perspective and if you compare to radiation therapy market overall, we had a very relatively strong order number, but looking into Q2 the certainty is absolutely still there on order side for sure, it's more, yep.
Kristofer Liljeberg: And if we compare this with I think Varian orders were down some 14%, but that of course includes the month of April. So could you say anything about what it will look like compared with what is it you like?
Gustaf Salford: I don't go into specific months in the quarter, but what I can say is that the discussions with the customers on the order side is picking up now. It's easier to travel around Europe to visit customers although APAC has COVID second and third waves, you can still get better access compared to previous situations. The US access in some areas, but still quite impacted by COVID and you the full discussion about CapEx reason bundle payments and so on. And so it's not just around COVID there. But that's why we are cautious, especially on the order side when looking into the next quarters here. But if I compare to the COVID situation in April versus July if that was your question, I think it has improved from our side. And then moving a bit to HCG then on - if that's a new strategy of Elekta as all of you know many [mantic] segments has gone more into subscription based models or solutions as a service, and we start to see that in radiation therapy as well. I think HCG is an excellent example of that. I believe we will see more of those types of deals that we've truly partner with the customers on getting more recurring revenue stream rather than an upfront initial purchase. And we see it as a good opportunity for Elekta. It would be granular shift so don't expect over a couple of quarters or so on that this will have a huge impact. But it will happen over the next couple of years and we are pleased to see that development actually. On your third…
Johan Adebäck: Do you expect this to have a significant effect on the cash flow, I guess it will - when you sell the machines that will show up them as CapEx or something else in the balance sheet.
Gustaf Salford: Yes, I mean it will show up on the balance sheet, it will be a gradual slow shift. So I don't foresee any immediate or medium-term material effect on cash flow from this. And then as Johan mentioned, I think we still see opportunities to improve net working capital as a percentage of sales and some of that improvement we can use in these types of situations to drive growth, but also get to a more recurring revenue stream that I think is helpful for Elekta as well. On your third question on lower operating costs, I mean absolutely short-term we see this and it will continue for some time, difficult to give a forecast on that, but there I would say it's also a longer-term shift. I mean, we are moving more to digital marketing. I think less traveling on a continuous basis. So operating expenses from that perspective should go down how much and timing and so on is difficult to foresee, but it is a trend shift I would say.
Kristofer Liljeberg: So you have a little underlying cost base today than you had nine months or 12 months ago?
Gustaf Salford: So I didn't catch on.
Kristofer Liljeberg: So do you have a little underlying cost base today than you had nine or 12 months ago?
Gustaf Salford: Yes, yes.
Kristofer Liljeberg: Okay, thank you.
Gustaf Salford: And what we invest increase - as Johan mentioned as we would invest in IT platforms because that's about the optimization, centralization to our shared service center in Warsaw. It's about process improvements across the business. So there was a bit of investment, but you will get the benefit on the operating expenses going forward as well.
Operator: Our next question comes from the line of Kit Lee of Jefferies. Please go ahead.
Kit Lee: Thank you. Two please, I guess firstly just to come back on [indiscernible] India, can you just talk about timing of revenue recognition there that is the feeling quite different to what we have seen in the past. In the sense that do you still get most of your revenue from the installation of the systems or is it more of an even facing now with this kind of the agreement? And the second question is on just on expenses. I'm sorry if I missed that but any of the savings come from furlough or government subsidies and how much savings do you think you can retain for the rest of this fiscal year? Thank you.
Gustaf Salford: On the rev rec on the - it’s a JD that will be more continuously, so we’ll take not as - it will not be tied installation it will be over the time of the contract. Selling expenses, we did not have anything in Sweden when it comes to government subsidies. We've had some in other countries, but not material amounts. I think going through COVID what we really focused on is to keep our employees throughout this period. But we have worked more with how flexible working hours and those types of with our employees, but is not about government subsidies, it ourselves taking care of that flexible working schemes and so on. And that's how we will continue to work throughout this period because we are convinced we will need our employees going forward to drive the growth and our pipeline here in the next quarters and years.
Kit Lee: And just to follow-up on the deal in India. Do you expect revenue to start to be recognized this year? And just on the length of the contract, is that a three-year contract, five-year or is that on a rolling basis?
Gustaf Salford: Yes, we do expect some revenue this financial year and the contract is multi-year, long-term contract.
Operator: Our next question comes from the line of Veronika Dubajova of Goldman Sachs. Please go ahead.
Veronika Dubajova: I have two big picture questions please and then one - just some housekeeping, if that's all right. One Gustaf I kind of want to get a sense for you for the degree of activity you're seeing in the market. I think when we last spoke on the last call you sort of suggested that order momentum could probably remain subdued beyond the first quarter? I think you said, it's hard for me to tell when order momentum troughs, but it’s unlikely to be Q1, kind of curious what your updated thoughts are on this? Do you think Q2 and Q3 will be worse than what we have seen better comparable to what you've done in the first quarter, if you could talk to that that would be really helpful. Certainly I think lots of different data points out there in the market to be - helpful to understand how you're thinking about it? And the second question is just a gross margin question, I appreciate you’re not giving a guide for the year, but helpful to understand as installations normalize whether your expectation is that the gross margin changes in any significant way or do we go back to what we had seen in prior years and then a quick housekeeping question? Just on the R&D capitalization and amortization and first quite a lot of movement in the last couple of quarters, if you can give us a guidance for what the appropriate run rate should be for the remainder of the year? Thank you.
Gustaf Salford: Thank you, Veronika. And I'll start to the first question and then hand over to Johan for gross margin and the R&D cap piece. Orders and I don't want to look in further then Q2, Q3 and Q4 we need to get through Q2 first, what we see right now is what I mentioned a big impact in the customer contacts. How we can have meetings yes through ASTRO you know you have been there and that's very important shows for this industry now they are going digital with implications of course, so that's more the negative factors. The positive factors is that we can start to get access the physical meetings with customers. We also have HPL that are the new linac that will come out now that I'm really eager to launch here, because I think that's an important part of our growth strategy as well and that comes together, with new software offering. So, we have good launches coming up to drive growths going forward. So, in Q2, I see that as being a bit negatively impacted by COVID, but I'm positive optimistic if you look further out.
Veronika Dubajova: Understood. Thank you.
Johan Adebäck: On the gross margin when solution sales picks up again we will see a more normalization of gross margin, I would say with the mix of solutions and service going back to what we had before the situation we saw in Q1 here. So that's hopefully good enough answer for you. On the capitalization, amortization, capitalization or as you know, driven by projects that we do can capitalize on. And do have - we'll see that bit more higher than what we saw last year I would say so expecting it to be around these levels. Amortizations that have been more stable and we foresee them to be stable in the coming quarters.
Veronika Dubajova: And Gustaf can I just kind of ask why still no guidance I mean you have decent visibility with the backlog you’re saying - it's becoming easier to install, becoming easier to see customers. I'm surprised what would you need to see for you to feel comfortable towards your guidance yet?
Gustaf Salford: That the customers are comfortable with their installation dates. So we have of course, a very large backlog and then it's more, how we plan with our customers to be able to start the installations of that backlog that’s uncertainty. So when they can confirm installation dates we can have a much clearer view on the revenue going forward. And so that's what we are anticipating and working proactively, working with the customers to get to those installation dates. Service is of course easier and that's more linked to contract that you take month and revenue on every month, but it's more about the solutions part of the business the devices when we can install them. So that’s uncertainty and that's why I don't think it would be wise to guide the market right now when we don't have that transparency.
Operator: Our next question comes from the line of David Adlington of JPMorgan. Please go ahead.
David Adlington: So first one really is a bigger picture question, just given the sector consolidation you're seeing. Just wondered what your thoughts on the impact of health [indiscernible] and there and going together impact to the market, how you plan to react to that, has it changed your thinking on the outlook for the business? And then secondly, just a more specific question around advanced payments - the amount of advanced payments on your balance sheet has been coming down fairly material over the last couple of years. I just wondered what was the trend behind that please?
Gustaf Salford: Okay. I'll start with the - industry landscape question and then I'll hand over more advanced payments to Johan. But of course, it’s a big event for this industry that Varian is acquired by Siemens Healthineers and it changed a lot of the industry dynamics, but it hasn't really changed Elekta strategy. And as we've talked about the last years we are focused on radiation therapy we're focused on the radiation therapy department, and really that customer relationship on innovation side and new products and the processes there. And we'll continue to do so with our new innovations and development. So that hasn't changed from our perspective. The software content in that relationship just increases and we also see ourselves agnostic, we can now collaborate in the customer situations, with all the different imaging players or primarily outside then Siemens, but with other players as well that I believe will be an opportunity on order and sales side going forward. So we see this is a true opportunity for us. Then of course as we all know with larger mergers and we should emerge through company’s processes and so on that often takes time, focus driving synergies and so on. And through that period, we will focus on customer demands and supporting the customers with new innovations and better processes. So we truly see it as an opportunity and we have been able to compete taking shares of the last decades in this industry and we continue believe that we'll continue to do so over the next years.
Johan Adebäck: Okay. And on the advance payments as you know, I mean the amount here is dependent on the projects it's related projects and the payment terms and installation dates for different projects. And if you recall, when we went to IFRS 15 in a couple of years back, we had a significant increase, where we also had the relatively large backlog of uninstalled systems. We've been working that off many of those were prepaid. So that's an effect we've seen for the last couple of years with advance is coming down. We are at the end of that cycle I would say very few of them left. So that effect is more or less finalized and that's the key driver of the decrease in advances, we've seen for some time.
Gustaf Salford: I think this is a very important part that Johan is talking about. We are coming more in a steady working capital situation. Of course Brexit is not gone, but we don't have the Brexit effects of last year. We had the Chinese Unity’s that we need to get to see FDA before we take the revenue and reduced the inventory. And we have also seen the transition from IFRS 15 to where we are today. So we are pleased with this cash flow and working capital situation we have today, but we see good opportunities to also address inventory and accounts receivables going forward to have an even better situation on the working capital side.
David Adlington: Okay, thanks. And then maybe just a follow-up on related, just wanted to get any updates on the CEO process please?
Gustaf Salford: The CEO process yes, absolutely. So there is an ongoing process that the Board is driving, and I haven't seen a specific timing and so on and of course is a bit more difficult now in COVID times, but it is ongoing that's the only thing I can say, but there is no time - final time set.
Operator: Our next question comes from the line of Scott Bardo of Berenberg. Please go ahead.
Scott Bardo: Yes thanks very much for taking my questions. So clearly, I appreciate that you are looking to take Unity into the next commercial phase. But this is obviously been a major source of investment for the company and has underpinned a significant part of your previous growth forecasts. So just before we enter the next phase, I would appreciate some clarity on how many Unity orders you have now in Q1? I think you had 80 as of last quarter and how many have been installed and revenue recognized, please? Second question, pleasing to see you’re launching your new linac, you shed some brief technical details, but are there any particular market segments or regions that you see ability to take share or is this more of a global product where you expect similar dynamics across the regions? Last question please, obviously following on from Veronika’s I appreciate you've resisted giving any sort of quantitative guidance at this point that makes sense. But given where we are with the service mix relatively decent gross margin somewhat surprising order dynamic. And is it fair to assume that we are in a positive growth scenario on the top line for Elekta this year and that profitability is above the 17.3% last year just like some qualitative statements there to help better align market forecasts? Thank you.
Gustaf Salford: Thank you, Scott. So we have entered the next phase and that is what we have said since 2017, that we will work hard to reach the 75, but then we're going into new phase with rather a little reimbursement, more market adoption and we will stick to that. In the quarter, we mentioned it was the second best Unity - quarter ever and it was around 10 Unity's in the quarter. On revenue and guidance, how many installations and so on, we will not carve out the Unity numbers from the total going forward. But of course we will give updates and comments on the performance of revenue and orders and of course the momentum study as well. HPL then, it's a very versatile product that is targeting all different markets as usual we often start with CE mark. And then you take it through the world, as we did with previous products as well, but it has a big role to play, both in emerging markets and in mature markets, and it has a role to play, where you have smaller bunkers as well and that is a big installed base of those in emerging markets, but also in some mature markets. On the guidance side, no we are not giving guidance, because we don't think it would be wise to do so under the current circumstances - with uncertainty on the customer side. We are focusing now on delivering quarter-by-quarter focusing on keeping the machines up and running, customer visits going, installations getting into their bunkers that's where we have the focus and we'll continue to do so through Q2. As soon as we feel comfortable no, the customers feel comfortable about their installation and order plans then we’ll start to talk about that externally as well.
Scott Bardo: Understood okay, thank you for the comments. And I guess just quickly following up - I guess nothing to hide away from given the strong Unity dynamic, am I right in saying that of the same 90 orders you have been, there still is some 60 also to be installed and revenue recognized just some clarity at this point of your growth cycle would be useful. And maybe just following on from David's question about some of the major consolidation activities? Obviously a big move in the industry and - no generally has been consolidating sector for some years. Could you share some thoughts about the importance for Elekta to remain an independent company? Thank you.
Gustaf Salford: So on the order backlog on Unity yes, we have a healthy order backlog on Unity that we'll continue to install as soon as the customers are ready over the next couple of years. So, and that's what we discussed previously when you get after the big backlog you will also be easier to get the smooth revenue flow from Unity quarter-by-quarter as well. You need to have that kind of scale. On the industry consolidation and the importance of Elekta to be independent - my answer to that is yes. It is important. We are - we have been successful in driving that agenda over the last 50 years I would say since Elekta started. We have been able to grow by innovation, customer focus and independents. However with close collaborations with many different players So I foresee a situation that - where we will drive our focus on precision radiation medicine, but we also have an opportunities to form close collaborations and partnerships with other players in this industry and around this industry.
Operator: Our next question comes from the line of Michael Jungling of Morgan Stanley. Please go ahead.
Michael Jungling: I have three questions firstly, when it comes to Siemens Healthineers. Can you comment on how reliant you on Siemens for parts, especially the supply of the CT for linacs? Secondly for the CEO search is the Siemens, Varian combination helpful for your CEO search? And then the third question is again Siemens and Varian I think you mentioned and if I don't - hopefully I didn't misinterpret your comments? But it seems to actually quite positive about the transaction, does this and mean that when you get asked by the European Commission and by the FTC about your view on the deal that you will endorse it. Is that a sort of correct interpretation of what you sort of said about the implications to you? Thank you.
Gustaf Salford: Okay. I’ll take them one by one here and Siemens supply-chain parts those aspects impact on our supply-chain or and I'm not foreseeing any impact there from our side as far as I know. On the CEO search if it's positive or negative, it's not really for me to say it's more a Board discussion. So I don't really have a view on that topic. Siemens Healthineers positive I believe it is positive for us that we can remain faster and nimble in these markets around the world and the - more market and legal aspect of it. I don't really have a perspective on that at this point in time.
Michael Jungling: And maybe then I can just ask another question about the line item in your P&L that is exchange rate differences. It's kind of we, this quarter that normally would expect the relationship between sales and your hedging contracts to probably be more positive than negative but you actually recorded a negative number of minus 55. Why it's so different this quarter and would you envisage given where the exchange rates are today, that this number turns materially positive for the remaining three quarters?
Johan Adebäck: For that line item, I mean in this quarter, there was very large foreign exchange movements, especially in July. So what ends up on that line is the contracts as you say, but also revaluation of balance sheet the items of. And that's the key driver - very significant foreign exchange moves we saw in the last month for the quarter it's - what that line item will be is fully dependent on foreign exchange movements, which we cannot predict. So it's difficult for us to say what - that number will be. The net effect from foreign exchange in the quarter, including that line item, but also the effect on all other items in the P&L was close to zero. So minus three I think, so the net effect from foreign exchange was more in the quarter - that line item was negatively relatively large at month.
Michael Jungling: But if you take the current exchange rates, I'm asking you to be sort of a forecast in the exchange rates for the year, but if you take the exchange rates where we are today, it is probably most likely, the number is going to be a material positive for the full year is that directionally a correct statement?
Johan Adebäck: Yes.
Michael Jungling: So did you say yes?
Johan Adebäck: Yes, I said yes.
Michael Jungling: Okay great, thank you.
Johan Adebäck: If you look at that line item last year was significantly more than 200 minus negative and that will not - that goes away if I put like that. So if we are - from that starting position - your comment is correct. Given where exchange rates are now and so on we would expect to have a positive effect from exchange rates of - yes compared to last year.
Michael Jungling: Thank you.
Operator: And we have time for one more question. This is from the line of Sten Gustafsson of Nordea. Please go ahead.
Sten Gustafsson: Thank you and good morning. So talking about the HPL and you mentioned it will be launched in September and it sounded like you maybe I didn't get it right. But it sounded like you expected that to have a positive impact on your orders relatively soon, but can you remind me about the timeline for regulatory approvals that would be helpful. That's the first question.? And secondly, if you could comment on the underlying demand for Versa HD, which we haven't talked about for a while, and specifically on sort of the mid-segment or high end range of the mid-segment product range. What your plans are there in terms of upcoming product launches and so on how you see that market develop would be helpful? Thank you.
Gustaf Salford: Absolutely Sten, so HPL I don't want to steal the thunder from the launch in mid September here, but if you look at the financial implications of it. Yes, we see in this fiscal year, there should be opportunities to get orders from the new linac around the world. The regulatory approval is much easier compared if you say how we need to work with Unity because there was a completely different type of product with the MR included. So that will be much, much shorter process compared to what it was used to on the Unity side. So I would say during the autumn, but then it depends a bit market-by-market of course we will focus on CE initially. Your questions on more premium segments versus HD and so on. And it’s a big focus here for us right now. We have worked a lot with new applications and new areas there. But at the same time, of course we are developing new platforms as usual. We always focus on new platforms and linac segment the larger part of our business. And we’ll continue to work on innovation side there as well that’s what I say at this point in time.
Sten Gustafsson: Thank you. But does that mean that you working on a new product right now and that may be launched in the near future?
Gustaf Salford: No, I wouldn’t say that, but we’re always working on new products in all our segments.
Sten Gustafsson: Okay, thank you. And regarding the HPL so CE mark probably this fall and also 510(k) within the first year I guess?
Gustaf Salford: Yes within the first yes, yes but I need to come back on specific dates. So take the opportunity to listening on the 15th.
Sten Gustafsson: Will do. Thank you very much.
Gustaf Salford: Thank you.
Cecilia Ketels: Okay thank you, Sten and all the others. I am sorry that we don’t have time to take more questions but we also have our AGM so we need it really to keep to the hour today. But thank you all for participating and good bye.
Gustaf Salford: Thank you.
Johan Adebäck: Thank you.